Operator: Good morning. Thank you for attending the Aspen Aerogels First Quarter 2025 Financial Results Call. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. I would now like to turn the conference over to your host, Neal Baranosky, Aspen's Senior Director, Head of Investor Relations and Corporate Strategy. Thank you. You may proceed, Mr. Baranosky.
Neal Baranosky: Thank you, Bruno. Good morning, and thank you for joining us for the Aspen Aerogels First Quarter 2025 Financial Results Conference Call. With us today are Don Young, President and CEO; and Ricardo Rodriguez, Chief Financial Officer and Treasurer. The press release announcing Aspen's financial results and business developments and the slide deck that will accompany our conversation today are available on the Investors section of Aspen's website, www.aerogel.com. During this call, we will refer to non-GAAP financial measures, including adjusted EBITDA and adjusted net income. The reconciliations between GAAP and non-GAAP measures are included in the back of the slide presentation and earnings release. On today's call, management will make forward-looking statements about our expectations. These statements are subject to risks and uncertainties that could cause our actual results to differ materially. These risks and uncertainties include the factors identified in our filings with the SEC. Please review the disclaimer statements on Page 1 of the slide deck as the content of our call will be governed by this language. I'd also like to note that from time to time, in connection with the vesting of restricted stock units and/or stock options issued under our long-term equity incentive program, we expect that Section 16 officers will file Forms 4 to report the sale and/or withholding of shares in order to cover the payment of taxes and/or the exercise price of options. I also wanted to highlight a near-term IR engagement on Wednesday, May 21. Management will be hosting one-on-one investor meetings at the B. Riley Securities 25th Annual Investor Conference. I'll now turn the call over to Don. Don?
Don Young: Thanks, Neal. Good morning, everyone. Thank you for joining us for our Q1 2025 earnings call. My comments will focus on our performance, the status and expected impact of several key elements of our strategy and our view of the current environment. Ricardo will dig deeper into our Q1 financial performance, our strategy and will provide comments on our Q2 outlook. We look forward to your questions. Our goal is to build a strong and profitable company. The focus during Q1 was to strengthen our resilience by broadening our commercial activities in both EV thermal barrier and Energy Industrial businesses by building a robust and flexible supply chain and by optimizing our cost structure. This important work continues in Q2 and will continue throughout the year. Starting with our Thermal Barrier business, we secured, during Q1, a major PyroThin award with GM for a next-generation prismatic EV platform. This PyroThin award, following recent awards from Mercedes-Benz and Volvo Truck, demonstrates our value in additional EV battery form factors and chemistries and, we believe, is a clear endorsement of our innovation and trusted performance. This momentum validates our role in the electrification ecosystem and sets the stage for continued platform expansion across new and existing OEMs. We are also encouraged by the record level quoting activity in our PyroThin thermal barrier business, which we believe signals that the leading OEMs continue to invest in the battery electric platforms of the future, positions Aspen as a key technology partner and reinforces our strategic leadership in EV battery performance and safety. While the first quarter performance for the Energy Industrial business was on par with the first 3 quarters of 2024, it could not keep the torrid pace of Q4 2024 when we had record revenue of over $53 million. It has not been uncommon in this segment for the first quarter revenue to tail off compared to the fourth quarter of the previous year. A frequent pattern for the Energy Industrial business has been for revenue to step back in Q1 and then to build throughout the year. It is also likely that we are experiencing some destocking in our distribution channel. While our supply capacity -- when our supply capacity is constrained as it has been since 2023, distributors and contractors tend to store additional safety stock. Our leading -- our lead times during the period of supply constraint were as long as 6 months versus more typical and current lead times of approximately 1 month. Now that we have our external manufacturing facility, or EMF, fully transitioned and an adequate supply from 2 aerogel manufacturing sources, there is less need for distributors and contractors to hold as much safety stock as they prepare for maintenance work and projects at our end users' facilities. We believe we are now reaching an equilibrium with respect to inventory held by our distributors and contractors and that EI revenue will build throughout the year and reach a full year revenue level approximating last year's revenue of $145.9 million. While there is some uncertainty in the energy markets, we note that most of the major oil and gas companies, including important end users of our products, such as Exxon, Chevron, Shell and Total, maintain their 2025 capital expenditure guidance during recent earnings calls. We believe that we have ample opportunities for profitable long-term growth in our core segments and new adjacent markets. Overall, we believe our Energy Industrial business is well positioned for a policy approach in the United States that promotes an intensified focus on energy and power generation. We have been working since 2023 to diversify our raw material supply chain and to create a second source for aerogel. We have been successful in building a resilient and flexible supply chain for raw materials and aerogel, which is an important tool in an environment with fluctuating tariff regimes. We have broad optionality from Asia, Europe and, of course, strongly from the United States to optimize raw materials for our aerogel manufacturing plant in East Providence. For aerogel supply, we can optimize sourcing for Energy Industrial, with the flexibility to shift production for U.S. customers to the East Providence facility and to serve the rest of the world from EMF. In addition to sourcing optimization for Energy Industrial, we are proactively seeking to address potential tariff risks through pricing strategies and by working closely with EMF to lower product costs. With respect to finished Thermal Barrier parts that we fabricate in Mexico, these products are USMCA compliant and currently exempt from tariffs. In terms of financial stewardship, we have taken and are continuing to take decisive actions to simplify and streamline the company. As Ricardo will describe in more detail, the goal is to reduce fixed cash costs to 2022 levels, to lower dramatically the revenue level required for positive adjusted EBITDA performance and to minimize CapEx investments. Our target for the new cost structure is to reduce the revenue level required for adjusted EBITDA breakeven to approximately $245 million. We believe the optimized cost structure will enable us to achieve the same $90 million adjusted EBITDA that we recorded in 2024 with approximately $360 million of revenue, significantly lower than last year's revenue of $453 million. In terms of CapEx, our EMF relationship and flexible sourcing strategy allow us to create capacity in a modular fashion that can more closely anticipate the demand curve and to do so with minimal capital. We believe we have the resources to grow both of our businesses and to navigate an evolving environment. These actions reflect our commitment to building a resilient, growth-oriented and profitable business. Ricardo, over to you.
Ricardo Rodriguez: Thank you, Don, and good morning, everyone. I'm happy to report another quarter on behalf of our team, starting on Slide 3. We delivered $78.7 million of revenue in Q1, which translates into a 17% year-over-year decline. This reflects an annual revenue run rate of almost $350 million and fell in line with our expectations for the quarter. Our Energy Industrial segment revenue saw a modest increase of 2% year-over-year by coming in at $29.8 million, reflecting the dynamics that Don mentioned in his remarks regarding inventory rebalancing at distributors and contractors, following 18 months of supply constraints and several project completions during the second half of 2024. EV thermal barrier revenue of $48.9 million represents a 25% decrease year-over-year as demand aligned with a lower vehicle production schedule at our key customers. We were encouraged to see General Motors continue gaining U.S. market share and manage finished vehicle inventory levels of EVs in a way that gives us confidence of a potentially more direct relationship between show floor sales and production demand for our parts. In Q1, company-level gross profit margins were up 29%, and our gross profit of $22.8 million represented a 35% decline over the same quarter last year. Our Energy Industrial business led with gross margins of 39%, and our EV thermal barrier business had gross margins of 23%, which was below our target of 35%, driven by reduced fixed cost leverage on lower production volumes and pricing initiatives. Early in the year and as part of longer-term additional award negotiations, we may occasionally and strategically leverage near-term prices to exchange commitments with customers as we expand our business. We expect the impact of those price actions to lessen over time as the benefits of ongoing productivity initiatives that we are aggressively pursuing materialize. While we believe that 35%-plus percent gross margins are appropriate at higher volumes, it is reasonable to expect our margins in this segment to hover in the mid- to high 20% range this year due to our limited ability to absorb fixed manufacturing costs at lower run rates in combination with lower content per vehicle due to smaller battery pack size mix. Our adjusted operating income of negative $2.9 million was enabled by an adjusted OpEx run rate of $25.8 million, and our adjusted EBITDA was $4.9 million in Q1. As a reminder, we define adjusted EBITDA as net income or loss before interest, taxes, depreciation, amortization, stock-based compensation expenses, and other items that we do not believe are indicative of our core operating performance. In Q4, these adjustments were meaningful, and they included $286.6 million in impairment of Plant 2 assets in Statesboro, Georgia; $9.8 million of restructuring and financing expenses linked to Plant 2; $2.1 million of stock-based compensation; $5.8 million of depreciation and amortization, along with $1.9 million of net interest expenses. Negative net income in Q1 of $301.2 million or $3.67 per diluted share assuming 82.2 million shares would have been negative $4.8 million or $0.06 per diluted share if we exclude the Plant 2 asset impairment and restructuring costs of the quarter. Next, I'll turn to cash flow and our balance sheet. Our operations consumed $7.4 million of cash in Q1 by generating $5.6 million in operating cash flow and investing $13 million of CapEx. Operating cash flow benefited from a $31.9 million reduction in accounts receivable that drove an $11.2 million reduction in net working capital, highlighting our efforts to free up cash from the operations. In Q1, to reduce our interest expenses, we paid down over $20 million of debt including $13.2 million towards our revolving credit facility and a $6.5 million payment towards our term loan with MidCap, bringing down our total debt on these facilities to $141.8 million at the end of the quarter. Within our $13 million of CapEx during the quarter, $7.7 million went towards the remaining obligations of Plant 2 and the rest towards equipment in Mexico and Rhode Island linked to future EV thermal barrier launches scheduled for later this year and 2026. As we made progress demobilizing the site in Georgia, we are now in a phase that positions us to recapture value from the equipment and building on site over the next several quarters. We expect to spend an additional -- up to an additional $20 million to finish demobilizing the site and close out all remaining open obligations. At the same time, we are already selling equipment to a set of selected buyers before holding an auction for the remainder, and the plant is available to purchase through our broker. We expect that these activities will enable us to more than recoup the incremental spend over the next several quarters. We ended the quarter with $192 million of cash and equivalents and shareholders' equity of $314.8 million. We believe that our balance sheet and operating performance in combination with the recent amendment to the minimum liquidity and adjusted EBITDA covenants of our MidCap debt facilities gives us the resiliency required to keep executing and flexibility to continuously optimize our capital structure. Before walking you through our outlook for the second quarter of the year, we thought that briefly discussing our positioning and ability to mitigate the current international trade environment made sense on Slide 4. Initially, we had a complicated chart that laid out the entire value chain of our business segments, showing what percentage of inputs and outputs were affected by what tariff rate as these crossed from one trade block to another, but we won't bore you with all of that. Instead, we think that it's worth remembering a few key points when it comes to our supply chain as trade policy evolves over the next several weeks. The first one is that we are lucky to have operations on both sides of the 2 main trade blocks that have been delineated recently on either side of the U.S.-China trade lines, and this enables us to generally produce within a region for the region. The second point is that at our current demand levels, we have been able to source most of our raw materials within the production trade block. And this caps our total 2025 tariff exposure to less than $4.5 million on the raw material side. The team has been working since the second half of last year to potentially make this even lower by switching our buying of silanes and batting used for production in Rhode Island to U.S. sources, and we believe that we can get this impact down to less than $1 million if all goes as planned. Our different business segments are also treated very differently given their geographical scope and the classification codes used to import and export the products across trade lines. Within our Energy Industrial business, all of our products are included in Annex 2, which is a list of specific goods that are not subject to the additional duties levied on imports announced on April 2 of this year. This list was developed to protect the sourcing of strategically important materials to the U.S. and, in our case, makes the total tariffs and duties of importing our products from China to the U.S. at up to about 50% of the products' costs versus the roughly 174% that products not included in Annex 2 would practically pay by the time you include all general duties or the 30% that one would pay before the implementation of the 2025 tariffs, highlighting the importance of our mitigation work on raw material sourcing, flexible production and pricing. Some of our main raw materials like S40 and silicon carbide are also included in Annex 2. With 50% to 60% of our Energy Industrial product revenues coming from outside of the U.S., the tariff regime for that portion of our revenues remains unchanged. For the remaining products sold in the U.S., we are leveraging our capacity in Rhode Island to produce over half of the product in this segment within the region using raw materials that are also predominantly sourced from the U.S. or also included in Annex 2. Our EV thermal barrier business is mainly focused in North America, with aerogel production in the U.S. and parts assembly in Mexico. This makes our parts USMCA compliant and not subject to the tariffs. We also have a maquila setup in Mexico that enables us to temporarily import inventory to Mexico, add value to it and then have our customers export it without any trade duties or value-added taxes. For all our revenues in this segment, our customers are the importers of record to wherever the vehicle or battery pack is being assembled. So we do not import or export any finished EV thermal barrier parts. And again, these parts are all USMCA compliant. In summary, the current tariff environment does not meaningfully affect our company or operations, thanks to the strategic importance of what we produce, what we procure and the efforts from our team to diversify our supply chain. The uncertainty in trade policy may, however, impact demand for new vehicles and energy capital projects by affecting overall sentiment, and that is what we are focused on developing additional resiliency from. Next, let's please turn over to Slide 5 and discuss our Q2 outlook. With what we know today, we expect to deliver a range of $70 million to $80 million of revenue. This would translate into breakeven to $7 million of adjusted EBITDA, which would drive a net income loss of $4 million to $11 million or $0.05 to $0.13 per share. CapEx to support our operations in Rhode Island and Mexico will continue being front-loaded to the first 3 quarters of the year, and we expect to spend less than $10 million, aiming to still manage this to less than $25 million for the year without including any of the remaining costs to demobilize Plant 2. We realize that this continues to represent a lower level of demand relative to where we were in the second half of last year. With the facts in front of us, it is easy to think of a baseline expectation for the year at the low end of our expected Q2 revenue run rate and our Q1 adjusted EBITDA run rate, so at least $280 million of revenues and $20 million of adjusted EBITDA for the year. When our visibility for the rest of the year improves, we'll provide a more detailed expectation for the remainder of the year. Turning over to Slide 6 and returning to the topic of protecting our profitability and cash flow generation. Even though our Q1 results didn't totally reflect the full benefits of the fixed cost reductions that we made in mid-February of this year, we'd like to emphasize that we have further reductions in progress that will continue improving our profit potential and the amount of revenue required to deliver positive operating income or EBIT. On an annualized basis, our goal is to keep protecting the P&L from a broad range of demand outcomes and ensure that we are delivering at least $20 million of adjusted EBITDA on annualized revenues of as low as $250 million or over 20% lower than our Q1 run rate of $315 million. In additional -- with additional process improvements, material savings, role expansions and reorganization, we believe that we are on a path to put the company's potential adjusted EBITDA on the green line that is on the chart on the left side of the slide, which represents various potential annualized EBITDA levels at various annualized revenue levels. The red line shows the EBITDA that could be expected from the fixed cost structure that we were carrying at the end of last year. The blue line represents the fixed cost structure that we got to in March of this year, and the green line represents a target that we're pursuing as we enter the second half of the year. If we're able to meet this target, we'll have a business that is able to deliver an additional $65 million of adjusted EBITDA at any revenue run rate relative to the fixed cost path that we ended last year on. On the right side of the slide, one can see how our EBIT or operating income breakeven revenue level has come down from $360 million to $320 million of annual revenues, and we are now targeting to bring this down further to approximately $270 million of annual revenues. That would mean a $90 million reduction in the revenues required to achieve breakeven operating income. In our minds, this is how we control the company's destiny in the near-term environment of demand uncertainty by driving what we can control versus worrying about the broader macro environment. Turning over to Slide 7 and before handing the call back to Don, I think that it's worth emphasizing and remembering why we remain so energized executing our strategy of leveraging our technology into our Energy Industrial and EV thermal barrier segments. All one needs to do is think beyond the current day, see the longer-term trends and think about a potential scenario for 2027. While we navigate through the uncertainty of 2025, we keep our eyes focused on what we can deliver in as little as 2 years' time, thanks to the asset base that we manage, the customer relationships that have been developed over more than 20 years and, in the case of our EV thermal barrier segment, a new set of OEM awards that are now tied to more realistic growth expectations, with meaningful launches ramping up in 2026 and 2027. These new OEMs can drive over $200 million of additional revenues in as early as 2027. If we look at the supply capabilities that we now have within our Energy Industrial segment, we believe that with our current products and through reaping the rewards of sales investment in new geographies and resourcefully exploring adjacent markets, we can grow that business to over $225 million of annual sales. For our EV thermal barrier business, if we take the current revenue pipeline of all awards on hand at face value, this segment has the potential to deliver over $700 million of revenue in 2027. Applying a 50% discount to that would still make it a $350 million business that represents 75% growth over the annual rate that we delivered in Q1 of this year of $196 million. As the team continues winning in the marketplace, taking share from other insulation materials in the energy infrastructure side and winning additional awards from the world's best automotive OEMs with our EV thermal barrier business, we will continue improving our market and financial positioning with a now leaner cost structure that should help us do justice to the asset base and the talent that we manage. We look forward to keeping our heads down executing over the next several quarters and managing proactively what we can control to capture more than our fair share of returns on the capital that we've invested as sentiment improves. And with that, I'm happy to turn the call back to Don.
Don Young: Thank you, Ricardo. Before we move to Q&A, I would like to reiterate that we believe that electrification through this decade will be a major driver for both our Thermal Barrier and Energy Industrial businesses. The goal for the Energy Industrial team is to create shareholder value by expanding the baseload of revenue and profit for the company. PyroThin thermal barrier design awards for Mercedes-Benz, Volvo Truck and the recent additional award from GM are clear demonstrations that leading automotive OEMs continue to invest in next-generation battery electric platforms, and they are choosing Aspen as a key technology partner. These contracts add to our portfolio of long-term growth programs and position us for continued platform expansion with both existing and new OEMs. With a strong foundation in place, we are confident in our ability to adapt, innovate and deliver both critical solutions to our customers and durable value to our shareholders. Bruno, let's turn to Q&A, please.
Operator: [Operator Instructions] We do have our first question. It comes from Eric Stine from Craig-Hallum. Eric, you're line is now open. Can you hear us? Okay. I'll ask Eric to go back into the queue. We're not receiving any audio from your line. Okay. Our next question comes from Colin Rusch from Oppenheimer.
Colin Rusch: [Technical Difficulty] evaluating what to do with the Georgia facility. Is there some residual value that you guys might think about monetizing, thinking to just hang on to it and keep it for a little while? I just want to get a sense of what you're planning to do with that facility here.
Ricardo Rodriguez: Sure, Colin. We caught the tail end of the question. I think we missed the beginning, but if I -- let me just play it back to you, and let me know if it's -- if the question matches what our thinking is on what you were asking. So you're mentioning what our plan is in the near term for the plant in Georgia, right, whether we want to hold it or just get valuation up. No, I mean, we've been pretty clear on this since going back 3, 4 months ago on this that we want to just capture the value from it as soon as possible. I mentioned in my remarks that we're already looking to place some of the equipment with a few strategic buyers, and then we'll hold an auction for the remainder. And then you should see the plant get listed for sale here pretty soon. And we do have quite a bit of interest since it's a pretty unique asset in a very good location. And our goal is just to recoup cash from those assets here in the near term. It's obviously tough to sell stuff in the environment that we're in, but that's why we're sprinting to get as much of it sold as soon as possible.
Colin Rusch: Okay. Great. And then with the oil and gas business, the inventory clearing, I guess, what signals are you seeing from your customers at this point that have changed in the last, call it, 4 to 6 weeks that give you comfort that the inventory clearing is fully wrapped up?
A – Don Young: Well, Colin, we have a reasonably clear view of our -- the supply that distributors and contractors hold, not perfect, but a reasonable view of that. And we have seen those levels decrease here in that time frame that you're talking about really over the course of the past couple of months at least. When I just compare 2020 -- where we are here in 2025 relative to 2024, we are basically on par with the first 3 quarters of last year. And yes, we had the gangbuster Q4. We had some extra project work in that particular quarter that came to an end during the quarter. We see project opportunities as we go through the year. And our expectation is that we will -- now that we've reached that equilibrium, I think, in the destocking process and the inventory of our distributors and contractors, that will build revenue over the course of the second half of this year and end up a year similar to our revenue levels from 2024.
Operator: Our next question comes from David Anderson from Barclays.
David Anderson: So I have a specific question on thermal barriers and kind of a broader strategic question. So in your commentary, you said lower content mix per vehicle. I'm just curious, is that a trend you're expecting going forward? Is that sort of a 1 quarter thing? And then sort of related to that, you talked about the next-gen LFP contract you have with GM. I would assume that's less revenue per vehicle as well just because of the nature of it. Can you just walk through that for a few minutes with me?
Ricardo Rodriguez: Yes, definitely. I mean this is exactly why content per vehicle is the wrong metric to apply to us as a supplier to the OEMs, right? We've seen this metric used by the Tier 1s broadly, and they get penalized when the content per vehicle goes down. In our case, it's a very different dynamic because as you know, the form factor of the cells inside of these battery packs are ultimately what drives the content per vehicle. And so this will definitely go down over the next several years and quarters as we launch more prismatic cell battery pack products versus the pouch-cell vehicles that we've been generally supplying up to this point. And the content per vehicle has drifted from over $1,000 a vehicle. Right now, we believe we're sitting at about $800 per vehicle. And if you recall on the prismatic cells, it could be as low as $200 to $250 per vehicle. So what we're more focused on is really just making sure that we consistently deliver 35% gross margins at a reasonable run rate and that we pay back all of the capital that we're deploying. And there's actually something pretty attractive in that within the prismatic parts that have the lower content per vehicle in the sense that we can share the equipment across various different OEMs which will enable us to pay back the CapEx much better than how we've been paying back the CapEx on the current pouch programs. So yes, I do think, just in general, CPV is not really indicative of what to expect from us when it comes to our ability to generate margins and pay back the capital that we're deploying.
A – Don Young: David, I would just add one point to what Ricardo said. I would think of some of these new form factors and chemistries as being additive and not really replacements necessarily for our current business. This is an expanding market. And we anticipate -- we've anticipated this as we bid on these projects. So we're not particularly surprised by this phenomenon. But again, I'd like for you to think about it as a growing market with -- as opposed to kind of a zero-sum game across different product forms.
David Anderson: Right. Understood. An expanding market in a number of different ways, and you have other opportunities there. I totally understand that. My bigger strategic question is sort of around the U.S. market versus the European market for your business. Obviously, GM has lowered their expectation for the year. There are a lot of headwinds. I'm sure there's a lot of uncertainty in GM on the EV program. Just curious, just looking across the sea here into Europe and those areas there, I saw on your chart there, Mercedes, Volvo, a number of those other players over there. What's the opportunity for a European expansion? And are you thinking about maybe shifting that to Europe because that would seem to be at least a more opportunistic market at least over the next 3.5 years, I would think?
Ricardo Rodriguez: Yes. So, so far, those customers have not been averse to purchasing product made in Mexico. And we would prefer to supply that from Mexico with some warehousing in Europe, just to fully leverage what we've spent and invested in Mexico. And so we -- I think expanding into Europe is -- can be pretty risky if you don't have enough of a baseline set of demand to start that with. We see labor costs in Europe are nowhere near comparable with Mexico's, and so we think that -- especially as we try to use the same equipment for all of these programs, we think that supplying that out of Mexico makes the most sense.
A – Don Young: And David, I would just add to that, that this is a set of customers who are dedicated to electrification. And over that time period that you mentioned will help us diversify and be a little less concentrated on our work here in the United States. And so these are good companies. We've worked extremely closely with them technically and commercially. And we're very optimistic that we'll have a great business in Europe.
Operator: Our next question comes from Eric Stine from Craig-Hallum back on the queue.
Eric Stine: [indiscernible]
Operator: I don't think we're receiving any audio from Eric at the moment. [Operator Instructions] Our next person in line is going to be Leanne Hayden from Canaccord.
Leanne Hayden: Just to start, can you please talk about any conversations or traction you may have seen with any South Korean EV OEMs?
Ricardo Rodriguez: Yes. I mean they've been in the pipeline for a while, and they're obviously interested in the product for cell-to-cell work. They did have a meaningful number of launches here recently. So in order to get on those vehicles, one would have had to have a product in 2019 or 2020. But our team is actively engaged for the next generation and some of the potential refreshes of those launches, either directly with them or with the cell manufacturers.
A – Don Young: Yes, I would just emphasize that we are very close to both LG and to Samsung on the cell manufacturing side of it. And the Korean OEMs are good at what they do, and we're determined to partner with them and have them be a customer.
Leanne Hayden: Okay. That's very helpful. And just additionally, how quickly can we expect any additional OEM wins to gather momentum and impact your P&L?
Ricardo Rodriguez: Yes. I mean that's what we were alluding to there on Slide 7. When we think about 2027 and in my prepared remarks, I mentioned that if we look at some of the additional OEMs that we are not currently in production with, those can add up to over $200 million of revenues in 2027. And we think that that's pretty meaningful growth, especially as the OEMs that we're currently supplying could keep growing by then as well. And then a lot of the quotes that we are working on now and some of the additional awards that we have now have pretty early 2028 start production dates as well. So it is fair to keep expecting the demand curve to get built up here from 2027 onwards from other OEMs.
Operator: We currently have no further questions. So I would like to hand the call back to Don Young for closing remarks. Over to you.
Don Young: Thank you, Bruno. We appreciate your interest in Aspen Aerogels and look forward to reporting to you our second quarter results in early August. Be well. Have a good day. Thank you.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. Have a good day.